Operator: Hello, everyone. And welcome to the Iterum Therapeutics plc Fourth Quarter and Full Year 2024 financial results. My name is Ezra, and I will be your coordinator today [Operator Instructions]. I will now hand you over to Louise Barrett, Senior Vice President, Legal Affairs, to begin. Louise, please go ahead.
Louise Barrett: Thank you, Ezra. Good morning. And welcome to Iterum Therapeutics fourth quarter and full year 2024 financial results and business update conference call. Our press release with our fourth quarter and full year results was issued earlier this morning and can be found on our Web site. We are joined this morning by our Chief Executive Officer, Corey Fishman; and our Chief Financial Officer, Judy Matthews. Corey will provide some opening remarks. Judy will provide details on our financial results. And then we'll open the lines to Q&A. Before we begin, I'd like to remind you that some of the information presented on this conference call will contain forward-looking statements concerning our plans, strategies and prospects for our business, including the development, therapeutic and market potential of ORLYNVAH, the sufficiency of our cash resources to fund operating expenses into the second half of 2025, our strategic process to sell license or otherwise dispose of our rights to ORLYNVAH, our ability to complete pre-commercialization activities for ORLYNVAH, our ability to develop a commercial launch plan either directly or with a commercial partner if we are unsuccessful at entering into or completing a strategic transaction and the expected issuance of patents and the term and coverage provided by such patents on issue. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors outside of our control including, but not limited to, risks and uncertainties concerning the outcome, impact, effects as a result of our evaluation of strategic alternatives, including the terms, timing, structure, value, benefits and costs of any strategic alternatives, our ability to complete a strategic alternative transaction, our ability to raise sufficient capital and successfully prepare and implement commercialization plans for ORLYNVAH with a commercial partner or directly, if we were unsuccessful in entering into or completing a strategic transaction, the market opportunity for the potential market acceptance of ORLYNVAH, our ability to continue as a going concern, the accuracy of our expectations regarding how far in the future our cash in hand will fund our ongoing operations and other factors discussed under the caption Risk Factors in the annual report filed with the SEC this morning and other documents filed with the SEC from time to time. In addition, any forward-looking statements represent only our views as of the date of this call and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update such statements. We will also be referencing non-GAAP financial measures during the call. We've provided reconciliations of GAAP recorded to non-GAAP adjusted information in the press release issued this morning. Now with that all said, I'll turn it over to Corey for your opening remarks.
Corey Fishman: Thanks, Louise. Welcome, and thanks for joining us today. I'd like to provide a brief recap of 2024 and talk a bit about key activities and milestones in 2025. Overall, 2024 was a very good year for Iterum. In January, we generated positive results in our pivotal Phase III REASSURE clinical trial comparing oral sulopenem to Augmentin in adult women with uncomplicated urinary tract infections [Technical Difficulty] efficiently pull together our NDA resubmission, which was submitted in April. In September, we had a successful advisory committee meeting and in October of 2024, received FDA approval for ORLYNVAH, the brand name for our oral sulopenem bilayer product. ORLYNVAH is indicated for the treatment of uncomplicated urinary tract infections caused by the designated microorganisms, E. coli, Klebsiella pneumoniae, or Proteus mirabilis in adult women who have limited or no alternative oral antibacterial treatment options. ORLYNVAH is the first and only approved oral penem in the United States. Now I'll share a few comments with you as to why we are so excited about the potential for ORLYNVAH in the market. The uncomplicated urinary tract infection market in the US is quite large and generates an estimated 40 million prescriptions annually. ORLYNVAH is the first and only oral penem approved in the United States and the second FDA approved treatment for uncomplicated urinary tract infections in the past two decades. ORLYNVAH will potentially be the first branded product to enter the uncomplicated urinary tract infection market in over 25 years. The leading product in the uncomplicated urinary tract infection market, Nitrofurantoin was approved in 1953 and the majority of the other oral products in the market were approved in the 1970s and 1980s. The extensive use of these products over time has led to rising resistance rates resulting in the most widely used products having resistance rates approaching 20% and those rates can run as high as 30%. As most prescribing for uncomplicated urinary tract infections occurs empirically, increasing resistance rates creates a challenge for practicing physicians since the efficacy of these products are continuing to be eroded over time. Additionally, almost all of the widely used oral products in this therapy area have some safety concerns that again create challenges for treating physicians as to their choice of agent to use. Unfortunately, with almost no innovation in decades, physicians have been forced to use agents that may not work as well as they would like for their patients. With the ORLYNVAH approval, there now could be an alternative treatment option for those patients who have limited or no other oral treatment options available. We believe that there are many patients that fall into this category specifically elevated risk patients. We define elevated risk patients as women that fall into any of the following categories: Women who are 65 years or older, women who have diabetes, women with a history of recurrent or drug resistant infections or women that have other comorbidities that negatively impacts their immune systems. This group of patients are most at risk given their profiles and many physicians are challenged to treat these patients with existing oral options that have substantial resistance as well as safety hurdles. Another key group of patients in this therapy area that are in significant need of a new efficacious and safe oral treatment alternative are the patients that have pathogens resistant to all commonly used oral antibiotics. In our REASSURE uncomplicated urinary tract infection clinical trial completed last year and conducted exclusively in the US across almost 1,000 patients, we found that approximately 1% of these patients had an isolate that was resistant to all available oral antibiotics. ORLYNVAH could play an important role in treating these patients as well. As we look at protection for ORLYNVAH with the formal confirmation from the FDA of five additional years of marketing exclusivity under the GAIN Act, ORLYNVAH has market exclusivity for a total of 10 years from the date of approval or until October 25, 2034. Additionally, our US patent portfolio provides protection for ORLYNVAH into 2039 with issued US patents covering both method of use and composition of matter. We have submitted patent information for four US patents for ORLYNVAH that are listed in FDA's Orange Book approved drug products with therapeutic equivalence evaluations. Overall, we're very pleased with the amount of protection that ORLYNVAH should have in the US market to capture value without competition from a potential generic product. In addition to the in-licensed and issued patents we have, there are a number of pending patent applications in the US and other jurisdictions, including Europe and China. As we enter 2025, there are a few items to note. Our key priority remains the previously announced strategic process to sell, license or otherwise dispose of our rights to ORLYNVAH with the goal of maximizing value for our stakeholders. Along with our financial advisor, we have conducted outreach to dozens of companies since our approval and have and will continue to engage with those that are potentially interested in the strategic transaction. As neither Iterum nor our financial adviser appointed to assist the Board in evaluating various strategic alternatives is in control of whether our efforts on the strategic front will result in any definitive offer to consummate such a transaction or if we do receive a definitive offer, whether the terms are as favorable as anticipated or acceptable to the Board, in parallel to the strategic process, we have begun to evaluate other options for maximizing the value of ORLYNVAH, which may include seeking to raise capital to support the commercialization of ORLYNVAH. We plan to engage in pre-commercial activities in order to develop the foundation for a highly targeted launch of ORLYNVAH with a commercial partner or directly subject to raising sufficient capital to ensure that the product is made available to patients and physicians as soon as possible. On the financial side, we have repaid the principal and interest due under our exchangeable notes at the end of January in accordance with their terms. Additionally, based on our current operating plan, including currently planned pre-commercialization activities, we expect our cash will be sufficient to fund operations into the second half of 2025. Now I'll turn the call over to Judy Matthews, our CFO, for a financial update.
Judy Matthews: Thanks, Corey. Total operating expenses were $3.7 million in the fourth quarter and $18.7 million for the full year 2024 compared to $11.4 million and $47.5 million in the fourth quarter and full year 2023. Our operating expenses include cost of sales, which is primarily the amortization of an intangible asset, research and development expenses and general and administrative expenses. R&D costs were $1.3 million for the fourth quarter and $10.5 million for the full year 2024 compared to $9.7 million and $40 million for the same periods in 2023. The primary driver of the decrease in R&D expense for the fourth quarter and full year was the completion of the REASSURE trial. G&A costs were $2.1 million for the fourth quarter and $8 million for the full year 2024 compared to G&A costs of $1.7 million and $7.5 million for the same period in 2023. The primary driver of the increase in G&A expense for the fourth quarter and full year was higher legal fees. Our net loss on a US GAAP basis was $6.6 million for the fourth quarter of 2024 and $24.8 million for the full year. On a non-GAAP basis, which excludes certain noncash adjustments, our net loss was $3.1 million and $17.6 million for the fourth quarter and full year 2024 compared to our non-GAAP net loss of $10.7 million and $43.8 million for the fourth quarter and full year 2023. The $7.6 million and $26.2 million decrease in our non-GAAP net loss for the fourth quarter and full year was primarily a result of lower R&D expenses related to our REASSURE trial. At the end of December, we had cash and cash equivalents of $24.1 million. Based on our current operating plan, which includes our currently planned pre-commercialization spend, we expect that our cash and cash equivalents, including $4.8 million of net proceeds raised under our ATM from January 1st through February 6, 2025, will be sufficient to fund our operations into the second half of 2025. Pursuant to our exclusive license with Pfizer for sulopenem, we were obligated to make a regulatory milestone payment of $20 million to Pfizer upon approval of oral sulopenem. In accordance with the license, we elected to defer payment for two years and delivered a promissory note to Pfizer in the amount of $20 million in October 2024. This note accrues interest at an annual rate of 8% on a daily compounded basis until paid in full. On January 31, 2025, we repaid the outstanding principal and interest due under the exchangeable notes in accordance with their terms. As of February 6, 2025, we had approximately 34.6 million ordinary shares outstanding. We will now open it up for questions.
Operator: [Operator Instructions] Our first question comes from Ed Arce with H.C. Wainwright.
Thomas Yip: This is Thomas Yip asking a couple of questions for Ed. Perhaps first question, I wonder if you can discuss any feedback or details on your ongoing discussions with potential partners and also if you can discuss what type of entities are you having discussions with such as pharma companies or financial organizations, what type of partners are you seeking out currently?
Corey Fishman: As you'd imagine, we really can't talk in detail about any ongoing conversations. What I will say, as I mentioned, is we have had outreach to dozens of companies, which include both pharma companies as well as financial investors and that process is ongoing.
Thomas Yip: And then on the other side, you mentioned that their commercial preparations are ongoing. I wonder if you can highlight some activities on that front?
Corey Fishman: So we are currently engaging in some research with payers, with physicians. We're also doing some analytics around targeting, around geographies, all in the stead of putting the foundation in place should we end up in a place where the strategic transaction does not occur or the strategic transaction doesn't generate something that is sufficient in the Board's eyes for a commercial launch either by us or with a commercial partner here at Iterum.
Operator: [Operator Instructions] We currently have no more questions. I will hand back over to Corey Fishman for any closing remarks.
Corey Fishman: Thank you. We appreciate you joining us today. 2024 was a pivotal year for Iterum as we received our FDA approval for ORLYNVAH, the first and only oral penem approved in the US. We believe the uncomplicated urinary tract infection market is underserved and that there is a substantial unmet need for effective treatment options. We look forward to ORLYNVAH entering the US market and ensuring that ORLYNVAH is made available to patients and physicians in order to provide this important treatment option to treat uncomplicated urinary tract infections. Thanks again, and have a good day.
Operator: Thank you very much, Corey. And thank you all our speakers on today's call. This concludes today's conference call. You may now disconnect your lines.